Mun Yuen: Good morning, everyone. To those who are joining us from outside of Singapore, a very good afternoon and good evening. Thank you for joining us at Sembcorp Marine Second Half 2020 and Full Year 2020 Results Webcast. May I gently remind all that some of the statements on the call today are forward looking in nature. A detailed disclaimer in this regard has been included in our press statements. On the call today, we have Mr. Wong Weng Sun, President and CEO of Sembcorp Marine Ltd. He is joined by Mr. William Goh, Group Finance Director of Sembcorp Marine Ltd. Without further delay, may I now invite Mr. Wong to address the meeting. Mr. Wong, please.
Wong Weng Sun: Thank you, Mun Yuen. Good morning, everyone. Happy Lunar New Year [Foreign Language]. Thank you for joining us at Sembcorp Marine Second Half and Full Year 2020 Results webcast. 2020 has definitely been a very challenging year. The economic impact of the COVID-19 pandemic coming on top of structural changes in the oil and gas sector further dampened oil and gas -- oil and energy consumption. This caused oil prices to plummet, with resultant disruption to the offshore oil and gas value chains, reduction in CapEx spending and deferment of final investment decisions. Despite the group's strategic transformation since 2015 in pursuit of businesses and product segments that focus on greener and renewable energy solutions, we were unable to overcome the onslaught of the 2020 economic turmoil. Our financial performance for the year was therefore severely affected. Still the group remain undeterred in the face of these challenges and stay on course, determined to continue to execute on several key strategic initiatives, which I shall provide further elaboration shortly. These initiatives will support the group's endeavor to build sustainable growth and enhance the group's long-term performance. The fallout of COVID-19 has yet to be fully played out. Disruption in global supply chains and the ongoing pandemic containment measures are unlikely to be lifted anytime soon across the globe. Our production activities which had to be stopped in April 2020 have gradually resumed from July 2020. I am pleased to share that Sembcorp Marine was able to respond rapidly with agility to reschedule resource deployment according to the evolving customers' requirement despite pandemic containment measures. The Sembcorp Marine team has executed well in this respect and in compliance to all regulatory measures. During the year, of foremost importance is the completion of ongoing projects in the midst of operational challenges presented by COVID-19. And clearly, it required careful planning across all levels and sites, with consideration to the safety and wellness of employees and all stakeholders. Our performance for full year 2020 reflected in -- this challenging economic backdrop as well as operational setback mainly due to delays in executing existing projects and deferment of FIDs and cut in CapEx by customers. There was, however, no cancellation of any projects during the year. Reflective of the challenging environment, including production stoppages, the group recorded turnover of $604 million and $1.51 billion for second half 2020 and full year 2020, respectively. With the decline in turnover and including asset impairments and provisions made in fourth quarter 2020, the group registered a higher net loss of $390 million for second half 2020 and $583 million for full year 2020. This is a quick financial snapshot. Our group Finance Director, William Goh, will cover our financial performance in greater detail shortly. Notwithstanding the operational challenges encountered in 2020, we successfully completed a number of greener solutions, and these are aligned to our active pursuit of projects with cleaner energy focus. In June 2020, we successfully delivered the Tangguh LNG modules. In August 2020, the offshore wind farm jacket foundations for Hornsea 2 project was successfully completed and delivered to our customer Ørsted. We also completed an LNG floating storage unit, the CNTIC VPower Energy, before the year closed. This was accomplished amidst global supply chain disruptions, travel restrictions and crew change challenges. We understand the vessel has since been deployed into service at Myanmar's Thilawa Special Economic Zone. In spite of the impact of the pandemic on the cruise industry, the group completed repairs and upgrades on 26 cruise liners during the year. One significant highlight is the completion of a major upgrade of Asuka II, Japan's largest cruise ship, for customer NYK cruise in March 2020. Sembcorp Marine continues to benefit from the new IMO regulations on ballast water treatment and fuel sulfur reduction. In 2020, we completed 34 ballast water management system retrofit projects and 16 scrubber projects. We will continue to drive our growth in this green technology retrofit solutions and related works. We are pleased that, in the midst of economic and pandemic challenge, we are able to see some results from the group's transformational and diversification strategy. The successful completion of these projects should provide new traction as the group continues to pursue new opportunities in these business segments. I am happy to share that, in 2020, Sembcorp Marine is once again recognized as the world #1 in the LNGC, FSRU, FSU sector, with a total of 19 repair and conversion projects under its belt. Production activities resumed gradually from early July 2020 to reach almost full workforce levels near the end of November. We continue to take full -- sorry. We continue to take all required precautions to protect our workers, customers, vendors and other stakeholders. At the close of 2020, the group has a net order book of $1.82 billion compared to $1.5 billion of projects under execution -- I'm sorry, comprising of $1.5 billion of project under execution, with a total original contract sum of $6.5 billion; and $0.31 billion of ongoing repairs and upgrades project with firm deliveries in 2021. A notable development which has gained impetus is group's strategic pivot to provide innovative engineering solutions to the global offshore marine and energy industries with a keen focus on cleaner, greener and renewable energy solutions. I am very pleased to share that LMG Marin, our wholly owned subsidiary, has received the best medium ropax award at the Work Boat World best of 2020 award for the zero-emission ferry Hjellestad propelled by battery power which the group designed and commercialized. As we continue to invest strategically in new innovation and technologies and develop or co-develop future-ready capabilities and know-how, we anticipate to see incremental opportunities and even more exciting projects in the green corridor. Below is the list of projects we are presently executing. In the renewable solutions, we have Ørsted Hornsea 2 offshore wind farm offshore substation and reactive compensation station topsides, Jan De Nul Formosa 2 offshore wind farm wind farm -- turbine jacket foundation, RWE Renewables Sofia offshore wind farm at early works contract. For Process Solutions, we have Equinor Johan Castberg newbuild FPSO, Technip energy's Karish and Tanin newbuild FPSO, Shell Vito newbuild floating production unit, Shell Whale newbuild FPU, NOC Gallaf Batch 2 well head platforms and bridges newbuild, Tupi P-71 newbuild FPSO, Shapoorji, FPSO Conversion. In gas solution, we have MOL LNG bunker vessels; Total Tyra redevelopment project topsides and bridges; upgrade of major floating storage and regasification units, FSRU, FSU, including the FSRU Karmol LNGT powership Africa, FSRU Karmol LNGT Powership Asia and FSU Torman II. For ocean living solutions, we have battery-operated roll-on, roll-off passenger ferries under construction in 3 units. And final, drilling -- advanced drilling rig solutions, we have Transocean Deepwater Atlas and Deepwater Titan newbuild. Oil prices have since recovered to pre-COVID-19 levels with improving demand. With overall improvement in economic sentiment underpinned by the anticipation of pandemic beating a retreat because of the availability of vaccination globally, there is increasing impetus by our customers to restart the development of deferred projects. Globally, the Latin American region, especially offshore Brazil, continues to be very active in offshore exploration and production activities. Petrobras Brazil national oil company continues to have significant plans to grow production in the coming decade, focusing on very prolific pre-salt ultra-deepwater basin, where break-even oil prices can be as low as between USD 20 to USD 30 per barrel. As local content is a key requirement in Brazil, Sembcorp Marine is well positioned in increasingly -- to increasingly seize such opportunities leveraging our EJA integrated yard, which is the largest and most advanced yard in Brazil. We have made good progress in our discussion on several project opportunities, including the following. SPE Cambo FPSO. We are continuing with pre-FID engineering work and is expecting development sanction on the project in late 2021. This is another unique design and build project where solutions is based on Sembcorp Marine's proprietary Sevan geostationary circular hull, a cost-effective alternative to traditional ship-shaped and turret-moored designs [Technical Difficulty] of risers and flexibility for future tie-ins. Sofia offshore wind farm in U.K. North Sea. Sembcorp Marine; and our consulting partner, GE's Grid Solutions, have been selected by RWE Renewables, owner of the 1.4-gigawatt Sofia offshore wind farm, as the preferred supplier for the wind farm's high-voltage direct current electrical transmission system. Our scope of work includes the design, construction, installation and commissioning of the offshore converter platform for the project. We have started early design works and expect FID in first Q 2021. We are also working on a number of battery-operated fairies. These highly energy-efficient vessels will operate normally on zero-emission battery power at a service speed of 10 knots. When required, they can run on combined battery-diesel hybrid backup modes. We have also commenced the basic design work for one of our customers on their wind turbine installation vessel. The group has also started early design works for vessels for ocean living ahead of anticipated project's FID. These projects are important in broadening our spectrum of projects and solutions. Directionally, they will create future opportunities aligned to the group's transformation strategies to be an innovative engineering solution provider in the offshore, marine and energy industries with a cleaner, greener and renewable agenda. The $2.1 billion rights issue and the demerger of Sembcorp Marine from Sembcorp Industries were successfully completed in September 2020. The rights issue has enabled the group to strengthen its liquidity and balance sheet, and the demerger has allowed the group to be more focused in executing its business strategy. Over the past several years, the group has strategically shifted the focus of its efforts and resources to the emerging green opportunities in the global offshore, marine and energy value chain. The group's business is now on a firmer footing with Temasek as a direct and significant shareholder. We are charting our way forward confidently as we prioritize our allocation of resources to grow a comprehensive and sizable portfolio in cleaner energy solutions. In the short span of time following the demerger and the group's recapitalization, Sembcorp Marine is seeing compelling strategic benefit of enhancing strategic and operational focus, strengthened customers' confidence in its focused execution and improved agility to respond to evolving market dynamics and to seize opportunities aligned to a strategic focus. While we have shared our transformational strategies since 2015, it bears discussion here to give a fresh appreciation on how the group has been pivoting and evolving to align itself to global trends and development. The group has proactively diversified into cleaner, greener and renewable energy solutions in keeping with the global shift towards a cleaner and greener energy mix. Our sustainable product solutions cover wind farm installation vessels, nearshore solution for cleaner and greener energy, LNG vessels, LNG-battery hybrid tugs, electrification-ready mid-water and harsh environment solutions and ocean living solutions. We are also moving further into offshore gas value chain with solutions such as LNG-powered vessel, import and export terminals and liquefaction and regasification solutions. Such solutions leverage our integrated offshore and marine engineering capabilities. The group will continue to leverage its core capabilities in innovative engineering to drive operational excellence and deep value creation for its customers. The group has been embedding differentiation -- differentiators in its operation. We have achieved execution leadership through production and process innovation, supported by our world-class assets, our engineering talent and our technological bench strength. At our flagship Tuas Boulevard Yard, the installation of a new pair of gantry cranes with 30,000-tonne lifting capacity and 100 meters hook height enables mega block integration; and help fulfill business objectives of safety, quality, time and cost. These cranes and other advanced yard capabilities will give us the edge to compete effectively for high-value projects. Sembcorp Marine has selectively acquired intellectual property, technologies and engineering talent to provide us access to innovative designs for specialized vessels such as the fully battery-operated roll-on, roll-off passenger and vehicle ferries and other green product and solutions. Coupled with long-term investment in research and development and the disruptive technologies, our innovation development enable us to offer a wider range of highly customized and repeatable product and solutions. The group is also forging alliances to tap best-in-class capabilities of players in the industry to create breakthrough innovative solutions and unparalleled collaboration outcomes to meet and even exceed the exacting expectation of our customers and the industry. Along with Sembcorp Marine's transformational strategy, the group has been investing in its human capital. While the group's existing capabilities with domain expertise in key technological areas has strategic advantage and is springboard into emerging greener energy corridor, it has continued to upskill and reskill its human capital to support higher competency and higher-value activities. We will continue to invest to retain and grow our engineering and PMET talent and develop them to have future-ready competencies and capabilities. Besides developing local talent and creating jobs, we believe a Singapore core is important to sustainably support the group's strategic penetration into new engineering solutions for cleaner, greener and renewable energy production, storage, transportation and consumption. As the group continues to seek new business in this challenging environment, we are cognizant of the needs to manage our resource with added prudence and discipline during this difficult period. We have continued to review and defer all nonessential CapEx and implemented cost optimization across all functions within the group. We pay credit attention -- careful attention to every aspect of our operations to trim cost without compromise to safety and quality. We remain committed to exercise financial discipline and prudence to manage our balance sheet and further strengthen the group's financial position. Sembcorp Marine has demonstrated an ability to adapt and reinvent ourselves over the years. We delivered healthy profits consistently before the collapse of oil prices in 2015. I believe we have both the resolve and ability to pivot and manage the group's strategic transition to capture new and emerging opportunities from continuing global transition towards clean energy and other green solutions, growing scale and profitability over time. Despite the present trajectory of gradual economy recovery, it remains premature to predict a strong and sustainable recovery for the industry. Sembcorp Marine expects losses to continue. However, the group will continue its strategic initiatives to build business resilience and position itself for future growth. As global players in the world's energy system transform and pivot in favor of cleaner energy and build appropriate energy infrastructure, it is anticipated there will be increasing green opportunities. Sembcorp Marine stands poised to benefit from this transition with innovative and sustainable solutions underpinned by its technology bench strength across the global offshore marine and energy value chain. The completion of the group rights issue in 2020 has strengthened our liquidity position and balance sheet. The group will manage its liquidity prudently to ride through the current uncertainty and challenging business environment. Even in this very challenging landscape, there is a sense of positivity. We will continue to drive our business underpinned by our strategic focus. As we embrace the challenges, we are also agile at seizing opportunities. On this note, I will now hand over to William, who will take us through the group's financial performance in full year 2020. Thank you very much.
William Goh: Thank you, Mr. Wong. A very good morning to all of you once again. Thank you once again for taking time to join our results webcast. I shall now take you through the group's financial performance. Let me start with the key financial highlights for FY 2020. Group revenue for FY 2020 was $1.51 billion, a 48% decline year-on-year reflecting the macro environment impact of COVID-19 pandemic and oil price volatility which resulted in delays in execution of our existing projects as well as the securing of new projects due to deferment of final investment decisions and cuts in CapEx spend by major oil and gas company. The group registered a net loss of $439 million before material impairments and provisions, which I shall elaborate shortly. Including such impairments and provisions, which amount to $162 million pretax and $144 million on a post-tax basis, net loss recorded was $583 million. While operating performance was muted during the year, there were no cancellation of existing projects. And as at end 2020, our net order book was $1.82 billion. And post our $2.1 billion rights issue, our balance sheet has been strengthened, and net debt-to-equity ratio now stands at 0.75x. Let me run through the second half 2020 numbers. Group revenue for second half 2020 totaled $604 million compared to $1.34 billion booked in second half 2019. The 55% revenue decline in second half 2020 was largely due to lower revenue recognition from our Rigs & Floaters, Repairs & Upgrades and Specialised Shipbuilding segments, offset by a stronger performance from Offshore Platforms segment which include renewable solutions. The gross loss for second half 2020 was mainly due to delays in project execution due to the COVID-19 pandemic, which contributed to higher costs for all segments, especially Special Rigs & Floaters and Specialised Shipbuilding projects; as well as inventory write-down. After tax and noncontrolling interest, net loss was $390 million for second half 2020. Excluding the material asset impairments and provisions recorded in fourth quarter of 2020, we shall provide more details later, gross loss would be $262 million, while net loss would be $246 million. Turning on to the FY 2020 financial performance. Group revenue totaled $1.51 billion, 48% lower than revenue of $2.9 billion booked in the prior year. This was due to lower revenue recognition from Rigs & Floaters and Repairs & Upgrades segments, mitigated by higher revenue from Specialised Shipbuilding and Offshore Platforms segments which include renewable solutions, as mentioned earlier. The gross loss was $490 million due mainly to the adverse effects of COVID-19 which caused production stoppages from mid-April to early July and then gradually resumed thereafter. This caused significant delays in executing our existing projects and contributed to higher costs for all segments as well as some inventory write-down. The net loss including material impairments and provisions was $583 million. Let me now explain the asset impairments and provisions recognized by the group during 4Q of 2020. This includes, firstly, an increase in provisions of $74 million for reinstating the group's vacated Tanjong Kling Yard. You may recall that we moved out of TK yard at the end of 2019 as part of our transformation strategy to consolidate operations at our new Tuas Boulevard integrated yard. As you will expect, historically, as for our other yards, we have made provisions for the reinstatement costs before we return to the Singapore government, but unlike other yards which we have returned recent year, the reinstatement plan for TK yard became clearer towards the end of last year. And based on this, we estimated the associated increased cost of reinstatement and we made the additional provisions accordingly.  So that's the first item. The second item is an impairment loss of $49 million on a marine charter vessel. This charter vessel is a mobile offshore integrated work center which basically facilitates all offshore asset installation and maintenance projects, including accommodation for up to 450 service personnel excluding crew. The provisioned was in light of the increasing challenging business environment, especially the intensified competition from the many players who surfaced in recent tenders in a key market for the vessel, but based on the weaker market outlook, the projected value in use for the vessel decreases. And with inputs from our external auditors, we made the impairment accordingly. The third item is a write-down of inventory relating to jack-up drilling equipment package amounting to a net of $34 million. So basically, as we evaluated the business conditions towards year-end, the multiple waves of COVID-19 surfacing globally essentially further deteriorated the outlook and pushed out the potential for any newbuild jack-up rig. At the same time, we have been receiving active inquiries for wind turbine installation vessels using our jack-up design. This gives potential for some of the equipment, for example, the jacking system, to be repurposed for WTIVs or wind turbine installation vessel. So what we did conservatively is we identified the equipment which can be repurposed and write-down the balance net of any equipment which can be sold. That's the third item. And the fourth item is expected credit loss on receivable, a general provision of $5 million. So this gives the total material impairments and provisions of $162 million on a pretax basis, and post tax is $144 million. Let me move on to the balance sheet with respect to capital gearing. Shareholders' funds as at 31st December 2020 was $3.7 billion, an increase of 69% year-on-year largely resulting from our $2.1 billion rights issue last September. Net debt as at 31st December 2020 stood at $2.8 billion, an improvement to $1.2 billion lower than a net debt position of $4 billion in December 2009 mainly through the conversion of our $1.5 billion sub debt into equity as part of the $2.1 billion rights issue. In tandem, our net gearing or net debt-to-equity improves to 0.75x at end 2020 compared with a higher 1.14x a year earlier. Let me now move to the cash flow part. The group generated higher negative cash flow from operations for FY 2020 of $750 million. This was due to COVID-19 impact with lower operating cash inflows from lower operating activities, the increased costs, and both resulting in higher net working capital needs. Net cash used in investing activities for the full year was $88 million, which is significantly lower than FY 2019 total of $312 million. This is in line with our ongoing group-wide prudence and discipline to defer all nonessential CapEx to preserve cash flow and manage our overall liquidity. Having said that, while we pay careful attention to every aspect of our operation to achieve cost optimization, we will do so without compromise to yard safety and operability. Looking at the above three buckets. The net cash flow from financing activities was $1.23 billion, largely due to the net proceeds of $0.6 billion million from our $2.1 billion rights issue as well as drawdown of existing facilities as part of our liquidity management during the uncertain circumstances last year. Of the $0.6 billion of net proceeds from the rights issue, approximately $0.1 billion million has been used for working capital purposes as at the end of FY 2020. The net increase in cash from the above contributed to the higher cash balance as end 2020. Let me shift a bit to unpack our business review for the various business segment. As you can see from the pie chart, in terms of revenue recognition, our floaters segment, primarily for production system, the FPSOs, the FPU, was the largest contributor at 34%. This is followed by repairs and upgrade at 28%, while offshore platform, which included our renewable solution like offshore wind substation topsides, contributed 21% of total revenue. It also registered the highest growth of 137% from prior year, the results of our increasing focus on green solution. Rigs is now a low 10% of total revenue as we continue to pivot away from drilling activities to cleaner and greener solutions. Specialised Shipbuilding, which focus on clean vessels like our ropax fully battery-operated ferries, contributed 4%, and we hope to see that increasing. Just a bit more on the individual segment comparison. For rig-building activities, it contributed $158 million in revenue for FY 2020, significantly lower than prior year. Basically, as we pivot away from drilling rigs, our remaining projects are largely the 2 Transocean advanced drillship. And revenue from the drillship are lower in 2020 as they progress closer to completion and also due to COVID-19 causing some delays in execution. Looking at the floaters side: Floaters revenue dropped by 59% to $517 million from FY 2020 largely due to lower production activities arising from the same COVID-19 factors which caused stoppages and delays in execution. As you can see, there are 6 ongoing FPSOs and FPUs under execution last year, and that includes the Johan Castberg newbuild FPSO; and the 2, Shell Vito and Shell Whale, FPUs. Moving on to offshore platform. As mentioned earlier, offshore platform revenue more than doubled in FY 2020 to $310 million. Besides the fixed production platform projects such as the Tyra and Gallaf, the improved revenue came from notable renewable solution projects under execution, namely the Ørsted Hornsea 2 wind farm reactive compensation station or RCS topsides; the Jan De Nul Formosa 2 offshore wind farm, the wind turbine jacket foundation; and RWE's Sofia offshore wind farm, where we are doing the early works contracts. Moving to Specialised Shipbuilding. Special shipbuilding revenue is $55 million in FY '20, up from $35 million in FY 2019. As mentioned earlier, the ongoing projects include 3 units of fully battery-operated ropax or roll-on, roll-off passenger ferries as well as a 12,000 cubic meters LNG bunker vessel project. With respect to repairs and upgrade. Repairs and upgrade activities were similarly affected by production stoppages associated with COVID-19 measures, and therefore repairs and upgrade declined by 30% to $425 million in FY 2020. We serviced a total of 146 vessels in FY 2020, including floating storage and regasification vessels or FSRU as well as several cruise ships. The overall improved product mix yielded improved revenue per vessel at $2.91 million compared to $2.16 million for the prior year. Net order book, as mentioned earlier, was $1.82 billion as end 2020. And this comprised, firstly, $1.51 billion of projects under execution; and $0.31 billion of ongoing repairs and upgrades projects with firm deliveries during 2021. And as guided earlier by our CEO, orders visibility continued to improve in the second half of 2020 with active order developments across all our products and solutions segment. As you can see from the slide in terms of project delivery schedule, due to order delays in the delivery completion this year, we have a total of 15 projects under execution. And of that, 11 of them are scheduled for delivery during the year. The balance are scheduled for delivery in the next 2 years. That is all for my presentation. I thank you for your kind attention. We shall now proceed to Q&A. Thank you.
Mun Yuen: Thank you, William. We will now open the floor for Q&A. The questions have streamed in.
A - Mun Yuen: We have the first set of questions from Kwok Wei of Citi. All right, Kwok Wei asks the meeting to address this question. Could you please provide a rough split of tender prospects between renewables and traditional oil and gas projects? Question two, any guidance on working capital requirements for 2021? And three, any guidance on the scale of reduction in depreciation for 2021 following the full impact of the move-out of Tanjong Kling Yard and post impairments?
William Goh: Let me address the first question. And thank you, Kwok Wei, for this first question. In terms of the split of tender prospects between renewables and traditional oil and gas, as you can see, in terms of renewable, it's still initial stages. We do have projects in the pipeline. One of the relatively firm project is the Sofia 1.4-gigawatt wind farm project. We are doing the early design works. And we expect that to translate into an order during the quarter, but zooming back up and comparing renewable projects with oil and gas projects, overall, the prospects are relatively balanced and robust. We have significant inquiries with respect to both the OSS topside platforms kind of inquiries and potential orders. We also have WTIV or the wind turbine installation vessels active inquiries as well, so there is a significant segment.  I won't be able to give a specific split, but it is a significant segment based on our current orders visibility. When you compare that with the oil and gas projects, especially for gas, we have quite a few active projects under development for the production, mainly FPSOs and FPUs, in various parts of the world. So if I would really give a overall comparison, traditional oil and gas would be a significant portion, renewable a significant portion. And the balance, including our other segments like the offshore platform as well as the ocean living where we work on various kinds of vessels that our CEO mentioned earlier, you can look at it as a 1/3 kind of overall prospects assumption. Having said that, as and when we progress the prospects, the speed will shift accordingly. So I hope that helps. In terms of guidance on working capital requirements, it's very much driven by the 2 factors. One is how we smoothly complete our existing projects, which we hope to do so by the middle and second half of the year so that will actually help us in reversing some of our working capital as we deliver the projects. On the other hand, our new orders, which we are hopeful will come in during the year, those will also have working capital needs, and payment terms for those will drive the need for fresh working capital. What we will say is that, where we are now for most of our orders prospects, we are working on a progress payments or milestone payments kind of payment terms. So therefore, we don't expect the additional working capital to be very, very significant, but there would be some. Selectively, as we have mentioned before, depending on the nature of the project, the customers and the scale of the project, there may be possibility for some deferred payment, but that is not our focus. And we will not shy away from projects that have those kind of payment terms if the other conditions or prospects on profitability of those projects are not meeting our requirements.  In terms of the scale of reduction of depreciation in 2021 following the move of TK yard, I think we have guided 2 years back as we work on moving our operations to TB yard. It would be easier for me to share that -- the overall cost savings, and depreciation is one of them. As we move our TK yard, the annual cost savings is in the range of slightly below $50 million, 5-0 million, per annum. So depreciation will be one component of that. The rest or the other manpower and services, that is avoided. So I hope that helps in the understanding of depreciation. Thank you.
Mun Yuen: All right, thank you, William. Our next question is from Amanda of Upstream. She asked, is Sembcorp Marine considering a merger with or acquisition of Keppel Offshore & Marine?
William Goh: Thank you for asking an easy question. I will say that, these matters, they are very much at the shareholders' level, so we are not in a position to comment on such kind of possibilities, but we have guided in the past that as a listed company we operate on an independent basis. For many years now, in terms of how we look at the business, we have always looked at how to be sustainable on a stand-alone basis.  As you can see, we have built our yard capabilities, spending the billions of dollars so that we are relevant and able to pivot, way back in 2015, into the new segments that we have targeted that our CEO has mentioned earlier. And in terms of our technology capabilities, we have acquired in recent years a few key technology companies that you have seen earlier. So we are looking at being able to move forward independently. Having said that, the consideration that you see in other parts of the world whereby there are mergers of yards in China, in Korea and also in Japan as well, those are driven by the broader cancellations -- considerations. From our standpoint, we continue to operate on a BAU basis, and in terms of what may happen, we will leave it to our shareholders in terms of their intentions. So I hope that helps.
Mun Yuen: Thank you, William. Next sets of question came in from of Uma of Business Times, all right? The CEO say Sembcorp Marine expect losses to continue. Will we book losses in first half 2021 or for full year 2021? All right, second question: What impact will Keppel's exit from the rig business have on SembMarine? With less competition, does SembMarine expect to book more revenue or profit from rig building? And how it would tap into these opportunities left by Keppel.
William Goh: Let me address the first part of the question. In terms of losses that we guided will continue, the level of losses and the extent of losses and to what extent it goes ahead is very much driven by a combination of our smooth execution of our existing projects and, equally importantly, the securing of new orders that will then also contribute to the top line. So we are presently not in a position to be very specific in guidance, but certainly, at least as we see for the first quarter and second quarter, as we progress up the execution of projects and, hopefully, achieve new orders secured, we see that, the initial first half, the losses are likely. Beyond that, it depends. So that is really how we could guide at this point in time. You have a second question, which is interesting, regarding Keppel's exit from the rig building business. I think objectively, as you have rightly highlighted, if a competitor would exit a business, it does mean lesser competition, but having said that, whether or not that translate in new orders is very much dependent on the overall demand from the market, in the first place. So in a sense, from our standpoint, this is not an area that we see as potential in the immediate future. And that's also a reason why we have pivoted for some years now. And if I may just say, that in terms of pivoting, we are not doing it just in response over the last several years. Our pivoting and transformation strategy has actually started way back in 2015 and even earlier. So for example, our ability to build the offshore platforms, the fixed platforms, for production facilities. Those, we have achieved even before 2015. And interestingly, it is the same capabilities in building the fixed offshore platform, that we are able to repurpose it in the offshore wind topsides, the offshore substations, for example. And that is why even in 2015 itself we have already delivered our first such projects for the offshore wind in the U.K. North Sea and is for the [indiscernible] project in 2015. And likewise, it's because of those track record that we are able to secure the recent projects that was mentioned earlier. So in that sense, going back to this question, do we see significant potential? The question for us is whether the rig building segment would ultimately recover. From past cycles, all indications are that there will be at some point in time some recovery, and typically it's driven by new designs. In this case here, as you look at the landscape, it will be rigs. They are a lot more greener in terms of operation and its carbon footprint. And these are things that we see a possibility in the future and we have the technology to work on this as well, but that is not our immediate focus. Our immediate focus, as we see earlier, is very much on the other segments, the more greener solutions that we highlighted earlier. And that's about it for this question. Thank you.
Mun Yuen: Thank you. Thank you, William. The next sets of question is in from Ajay of JPMorgan. He raises these 2 questions. Can management share its outlook for repair revenue into 2021? Given the sharp decline in 2020, does management see the second half '20 at the bottom for revenue, or is there a risk that revenue would still decline for the next first or second reporting periods?
William Goh: Let me say that in terms of our overall revenue for first half, or for that matter, Repairs & Upgrades. Repairs & Upgrades align with the release of the workers' availability to execute projects. That has obviously improved from the third quarter through to the fourth quarter. So as we guided earlier, most, if not all, of our -- the workers, pre COVID, available for our yard by the end of November, so in that sense, there has been a gradual improvement during the third and fourth quarter. Barring any reversal COVID impact as the availability of workers continue, we should see the first half of 2021, whether it's for repairs and upgrade or for overall revenue for the company, we should see things to be better compared to last year. So that's a guidance I can give with respect to revenue for both repairs, upgrade as well as overall revenue. Thank you.
Mun Yuen: Next, we have one question from Mr. Tua Shun Yuen [ph]. He asks, when is the vaccine provided to workers in your yard?
Wong Weng Sun: Okay, thank you for the question. The vaccination process is -- pretty much is recorded in with the authorities. In terms of the priority, we will inform that it will be, in the near term, the workers will be -- giving the vaccination.
Mun Yuen: Thank you, Mr. Wong. All right, we have the next set of question from Lim Siew Khee from CIMB. Question one, can you please update on the percentage of completion for Transocean drillships and the delivery schedule? Two, is Keppel O&M your customer or potential customer? Three, you have secured 0 orders this year. How long is your order book visibility? What is a realistic order target this year for the analysts to model? And fourth, do you expect quantum of losses to be similar as FY '20 in your guidance? And the fifth question: Do you need to provide for any write-down for your Brazilian yard? And last question, are you still reviewing your ops inventory that could warrant more provisions ahead?
William Goh: Siew Khee, thanks for the question. As usual, you have a whole series of questions, but let me try to take it one at a time. So the first one is regarding the completion status of 2 Transocean. Easier to say that both Transocean drillships are scheduled to be delivered during the course of the year, 1 earlier and -- than the other. So in terms of their status of completion, the Transocean 1 is more advanced. We don't give specific in terms of status, but you can take it as 85%. And Transocean 2 will be slightly lower than that. In terms of the whether or not our sister company Keppel O&M can be a customer, a potential customer, it's too early to tell. We welcome all potential customers. It's very much driven by mutual commercial benefits and interests. At this point in time, I can't comment on whether this can be a possibility. The third question, regarding our orders visibility and lack of orders in this year. You are right. 2020 has been a very tough year. Several of our projects -- like the Siccar Point Cambo FPSO. That one was scheduled to be first half of last year and it was deferred to the second half of this year. So because of the deferral in some of these projects, we did not have a good year last year, but having said that, as mentioned earlier, the orders visibility has improved significantly, especially in the fourth quarter. And some of those potential orders were mentioned by our CEO earlier, so those are data points for us. Do we foresee orders to be better than last year? I think that's a given. We do expect orders and we hope orders to be significant. Exactly how much will that be? We have a way for us to make the announcements in due course. In terms of the expected quantum of losses, whether or not it's going to be similar to this year, I think it's a bit too early for us to comment specifically, yes. We just mentioned that we expect the losses to continue this year. Whether or not we need to provide any write-down for any of our yard facilities or assets. As you know, we have to perform, and we do on a periodic basis or at least every quarter or every half, our assessment of all our yard facilities and other assets. And based on the market conditions as well as the longer-term assessment of the business, we would evaluate and determine the value-in-use valuation for the facilities. And we will do the necessary provision, as we have done for what you see in the fourth quarter of last year. Having said that, both our Singapore yards as well as our Brazilian yard, they are new facilities. They were built only in recent years. And they are meant to be relevant and advance in terms of its ability to meet the requirements not just in traditional oil and gas because it's integrated -- and its ability to respond and take on projects of the various segments that we have talked about.  And we are looking at facilities that are 30, 50 years long. And therefore, if you look at long-term potential of what we have built with the future in mind, we see the possibility of the potential there. And so therefore, we hope not to see any write-down situation. In the overall scheme of things, specifically for inventory, your last question, inventory is being evaluated on a similar basis. We happen to have this one jack-up drilling package which was a leftover because one of our previous customer did not exercise an option. As you know, when we give option to the customer, we want to ensure that we are able to deliver. So this drilling package was purchased because it was a long-lead item in those days. It was purchased to ensure that we have the ability to deliver the jack-up rig. So that's the only one on jack-up inventory. The rest of inventory are very much bulk material. We do not expect to have further provisions with respect to inventory. I hope that helps. Thank you.
Mun Yuen: Thank you. Thank you, William. Next sets of question comes in from Tu Wei [ph] of Macquarie. Have you ever disclosed your repair and upgrade order book in prior years? Considering what -- repairs and upgrade was an important source of cash flow pre COVID, how does the $0.3 billion order book compare against FY '19 or FY '18 figures? Should we expect this to improve to pre-pandemic levels in 2021?
William Goh: Tu Wei [ph], thanks for the questions. We do in recent times highlight the repairs and upgrade. As you rightly highlighted, it continues to be increasingly significant, especially because of the greener solutions like the ballast water treatment system retrofit as well as the grass -- the gas scrubber retrofit. So where we are now in terms of order book is $0.31 billion. I will say that it will be quite an easy proxy in terms of overall orders for repairs and upgrade based on the annual revenue for repairs and upgrade. So you look at the past couple of years, when revenue is in a range of $500 million or touching $600 million. You can assume that -- the underlying orders which is on an ongoing basis will be similar to the associated revenue. So that would give you a -- some color on the levels of orders. So putting forward in terms of our view of the market: So repairs and upgrade continues to be promising. The key thing is really the availability of the resources as well as the ability of the vessels to safely harbor in Singapore and coming to our yard. Assuming that those are not an issue, we expect repairs and upgrade to continue to improve in FY 2021. Thank you.
Mun Yuen: All right, next sets of question. They are in from Rahul of HSBC. He has 4 questions. SembMarine reported contracts assets of SGD 1.55 billion as of 2020. Could I check, what all others are part of this contract asset? I assume Transocean will be a key one here. What's constitute other than this? Further, can I check how the delivery financing agreements with Borr Drilling reported in the balance sheet? Is it part of contract assets, or receivables? Question two, does SembMarine have any stranded assets on its yard, rigs or others? Three, with order book less than $2 billion, what is management thought process related to employee head count? Is it something you tend to reduce or keep at similar level given expectation of new orders? What was the change in staff costs for 2020 versus 2019? And his last question: At what level of order book or new orders do you expect SembMarine to turn profitable?
William Goh: Rahul, thank you for the series of questions as well. These are tough questions. Let me do our best to respond to them. Firstly, in terms of the contract assets, you are right. Contract assets basically are work in progress whereby there's a progress or transfer of title to the customer. So besides Transocean, the other projects that contributed to the contract assets will be our other projects that are on milestone payments. So for example, you have Johan Castberg project. You have our Shell Vito project, for example. So those are the various progress milestone projects that will contribute to the contract assets, yes. And in terms of the delivery financing agreements with Borr Drilling, as how is it reported in the balance sheet, it is recorded as long-term receivables. As you know, in the latest agreements with Borr, all our receivables are due in May of 2023. In terms of does SMM have any stranded assets in our yards, rigs or any others, the short answer is no. As you know, we sold all our 9 rigs to Borr back in the 2017, and we delivered all of them by 2019. Order books of $2 billion and slightly less, our thinking with respect to the employee head count. I think you can expect, and we have also mentioned before, that given the kind of activity level, we will have to manage very carefully our manpower resources. So in terms of the direct labor, the folks that are directly involved in the projects, we do have to manage them and manage them down accordingly, so certainly our costs will have to be moving in tandem with the level of activities. Having said that, in terms especially of engineering, it's important for us to know that we have to keep a certain level of engineering talent for two reasons.  One is that impending projects may come, and it will be too late to start looking for this kind of talent by the time we secure the order. So there will be a certain level of engineering talent for sustainabilities. And secondly, as you look at the broader picture, the migration and pivoting to our various other segments, those require certain level of head count as well. And we see that's important for us to be not just increasingly relevant but to take on those opportunities as we see it surfacing. And one of them is really when you talk about offshore wind. Right now you are looking at fixed installation.  In other words, it's in shallow water, but floating offshore wind is coming in significant ways. You may have heard that we do have solutions for that as well because that drives straight into our core competency in terms of being able to develop solutions, especially in harsher waters further out of the Indian Ocean. So that is that in terms of the employees. Staff cost-wise, I would not give specific, but certainly it is a reduction from 2020 compared with 2019. So 2020, certainly, staff costs are lower. You might have heard that, from the order executive staff standpoint, we have shared that our CEO has taken a 50% pay cut, whereas senior executives have taken 15% and that juniors reduced the remuneration impact. So -- and those are the measures that we take, painful but is necessary, for us to see through these operations. What level of order book or new orders do we expect SMM to turn profitable? It is a good question, but it is not a straightforward question to answer. And that's because, the nature of the orders coming in, the scale and the scope are different. So for example, if you look at FPSO, if the full-scope FPSO, including procurement equipment, are there, you will find that the orders in terms of total contract size will be much larger, maybe in the scale of close to $1 billion, but if the OFS or the owner-furnished equipment is a significant component and we do lesser procurement, it benefits us in terms of the working capital needs will be lower but overall contract size will actually be reduced. But in terms of a value add for a project, it will be no different or lesser different in that sense. So different kinds of projects will give us different kinds of order size. And contribution will also be different, depending on the different business segment. So I would not hazard a guess to respond to you, but you should see that in the range more of anything from $2.5 billion to $4 billion kind of range. But this is just a broad guesstimate for your planning. I hope that helps. Thank you.
Mun Yuen: Thank you, William. Next sets of question is from Ling Xing Yi [ph] from Saga Tree Capital. First question, how should we think about the cash flow outlook for FY 2021? I note that operating cash flow for second half of 2020 was $600 million versus cash balance of about $700 million. Question two, how should we think about the profitability, that is gross margin, of the wind farm projects? Third question: Would it be possible to get details on the Gassnova collaboration? What is Sembcorp's envisaged role in carbon capture? Was SCM involved in Longship CCS?
William Goh: I will take the first two questions and our CEO will take the rest. So in terms of how the cash flow outlook look like for FY '21, as I mentioned earlier, is very much a function of execution of existing projects as well as securing new orders because they are compensating working capital needs, but if we were to look at it for overall first half and second half, most of our projects that are scheduled for delivery this year is scheduled in the middle or in the third quarter of this year. So we will see the significant improvement in working capital situation, especially in the second half of the year. So I hope that helps in terms of overall guidance. In terms of the profitability or gross margin for wind farm projects. Again, there are different parts of the value chain that we are involved in. The more straightforward jacket foundations, they will be a little bit more basic. If you have the HVDC kind of topside platforms, those are a lot more complex and those will be better margins. If you are looking at wind turbine installation vessels, that will -- depends on the technical specs of this wind turbine. If it is the basic ones for 8-, 10-megawatt kind of turbine, those are basic. We've been looking at 12, 14 and even beyond; and those, the technical specs are higher. The value add are higher. The competition is lesser, and therefore those kind of margins could be better. So there's a range of margin just to look at the wind farm projects, yes. And the range of it as for now when everybody is hungry, everybody is competing, but when overall wind farm market picks up further, which by all projection is expected to be very, very significant, we're talking about $1.5 trillion in investments by 2040, 2050. So when the overall demand picks up, the price points will improve, and we hope that our margins will also improve accordingly.
Wong Weng Sun: Yes. Let me talk a little bit about the other question. The first is the Gassnova collaboration. This is a very strategic collaboration. It is involved -- it involve the carbon capture and storage. For Sembcorp Marine, we have participated in this project collaboration using our Sevan hull, circular hull, repurposed for carbon capture. The core concept in name is Stella Maris. It is a collaboration by oil majors, companies and classification society. And this is led by Altera Infrastructure for joint studies and development over 2 to 5 years' time line. The objective is to explore and develop a commercially competitive solution for large-scale maritime transport, offshore discharge, floating storage and injection of CO2 for permanent storage in subsea reservoirs. It is also in alternative solutions to allow storage of carbon capture be at a location of subsea, where never -- or subsea pipelines are not economically feasible.  So it will involve a floating carbon CO2 storage and injection unit; and also with a carrier, a tanker; and exploring the flexibility in providing CCS solutions. And we are glad that we are in this collaboration. And with this, SCM were able to further sharpen the competitiveness in providing a solution in this carbon capture space. So in a nutshell, for carbon capture, we drive from the collection of CO2 capture, transportation, including the offshore storage in a big scale of reinjection into the reservoir. And those are the areas and roles where Sembcorp Marine are able to participate in the near future.
Mun Yuen: Thank you. Thank you, Mr. Wong. Next sets of question comes from Tan Hui Wei [ph]. She has three questions. Question one, you have mentioned repurposing of jack-up tech for wind energy. Would this be mainly for wind farm installation vessels? Have you seen inquiries for retrofitting jack-ups for such work? Question two, how far possible will offshore wind installation vessel demand pickup from the lag rather -- sorry, from the lag now in the rig building segment? And three, could you give more colors on the LNG bunkering shipbuilding demand?
Wong Weng Sun: Yes. For the jack-up repurpose into wind turbine installation vessel, now the solution is basically having the installation vessel being stationary and able to install the turbines in a more stable conditions. I think this is one of the solutions using a jack-up system for the installations. However, depending on the water depth and the environment, other possibility of installation vessel can be adopted as well, such as vessels or lifting offshore-footing crane. Retrofitting of jack-up for such work and also including other solutions like ship shape as well. And also in these are some of the bigger offshore supply vessels to be retrofitting to install turbine for wind farm, is all possible and we also receive such inquiries. However, time is required, together with the customer, if the solution is the better for in terms of OpEx as well as for the CapEx consideration. We do have the expertise from our past experiences on both the jack-up as well as also the ship-shaped design for such prospect.
Mun Yuen: Thank you, Mr. Wong.
Wong Weng Sun: Now I'll then come back to the LNG bunkering shipbuilding demand. I think there is a difference between LNG carrier which predominantly is a cargo carrier with the content is LNG, but bunkering LNG actually is using LNG gas as fuel. So this will take more of a strategic consideration in terms of investing into the competencies and also technology being used for nearshore bunkering purposes. So for our experience in SCM, we have delivered the world's largest floating crane, Heerema, with the ability to power up to close to 100-megawatt power generators and where LNG is the primary fuel. So we have performed a first of its kind in Singapore for ship-to-ship bunkering, all right, to fulfill this requirement of a shipbuilding process requirement where we do the commissioning of the fuel tank and including the commissioning of the engines in the shipyard. I think this forms the basis and this form a very good learning curve for us to explore into the LNG bunkering facilities in the future. Thank you.
Mun Yuen: Thank you, Mr. Wong. Hui Wei [ph] has an additional question. How far will SembMarine partake in LNG-fuel commercial shipbuilding activities?
Wong Weng Sun: LNG-fuel commercial and shipping activities. I think, for instance, SCM has developed and designed and currently building 1-tonne boat, this commercial harbor tonne boat, using 100% LNG-fuel tonne boat, which means it is not dual fuel but is purely LNG fuel. If we look into the energy mix and energy transition, for the marine fuel, if it takes from current state into the future renewable, we believe the technology development and the scalability require some time. LNG could be one of the solutions when we talk about a cleaner energy while waiting for the final state of the renewable energy for marine fuel comes along. So therefore, in terms of LNG fuel, this possibility, we believe LNG could be -- in the meanwhile between now to 25, 30 years, could be a good solutions for the industry to adopt. While some of the newer technology may comes in, in between, but -- that could be one of the solutions, can be adopted, although there are also some studies today looking into ammonia-fuel vessels, engine as well. So in a larger scale, LNG is also easier to be adopted to the current fleet of existing ships supplying globally. So we feel that having a good start point for LNG fuel facilities and also learning curve will help SCM move on to the next level of newer fuel into the future. Thank you.
Mun Yuen: Thank you, Mr. Wong. Well, we have one question from Wai Eks [ph]. The questions is interesting. How is SembMarine preventing eating into each other's dinner of another fellow Singapore company who are also involved in renewable projects? How does SembMarine differentiate from other Singapore companies?
Wong Weng Sun: In just now, I have broadly explained SCM pivoting into renewable and also cleaner and greener solutions. So SCM, by itself, is a solution provider. And what we produce, we would like our product, our services eventually able to contribute into the reduction of greenhouse gases. So as we know that SCM past experiences on the various product we have produced, it is not only on the benign-water jack-ups and so on. We have -- since 2019 have moved away from the comfort zone and go into harsh environment, going deeper, colder and also involved in different type of structural solutions such as the circular hull, [indiscernible] float.  And these are the two very important examples to say that how these two structures eventually able to be redesigned, repurposed to solve the issue of the future and provide solution for the future. I mentioned just now about the Gassnova program, all right, where we use a circular hull to support the CCS initiative, but similarly the [indiscernible] float can also be applied for nearshore solutions for the renewables. Into the future, probably we have a new way of -- better efficient way of producing hydrogen or also ammonia in a nearshore basis instead of an onshore, but at the same time, all right, SCM is also developing products, a set of product, and in the transportation vessels propelling, for example, their coastal vessels, all right.  Even though it is a smaller scale in terms of size of the ship, but -- it give us the advantage of learning how to design and how to be on the forefront and providing a renewable asset. That is, for example, the battery-operated vehicle ferries. And now we are moving into how -- and we have designed our own design using hydrogen fuel cell-operated coastal vessels. So this is how we would like to differentiating ourselves, all right, from others whereby we have the capabilities, all right, from the FID -- pre-FID, FID basic design to provide solutions. Any customers who are able, all right, to have a project will then able to come up, come forward with different type of solutions, as long as the technology being adopted, all right, for that purpose is scalable and able to meet the requirement. So at the same time, I would like to also feel that being a solution provider, all right, is a position whereby we need to be supported with a full suite of engineering capabilities and especially for the offshore energy solutions, all right? For example, we are now developing a floating wind farm structure instead of nearer -- nearshore monopole of fixed structure. So this is how SCM should differentiate ourselves, all right, that we are having strength to provide solutions for the future, be relevant. And beyond that, we are able to collaborate with others and also able to join others in giving solutions to the market. Thank you.
Mun Yuen: Thank you, Mr. Wong. All right, we have one -- I will say, two questions from Ajana [ph] of MUFG. Most of the cash infused by the rights issue seems to be used to meet the working capital requirements in the second half of 2020. Could you please provide some insights on, one, total quantum of debt due in 2021 and the progress on their refinancing; two, expectation on working capital requirement in 2021? And I beg your pardon, a third question is in: Any additional sources of liquidity in 2021?
William Goh: Ajana [ph], thank you for the question. Yes, you are right. The rights issue main target is to be meeting our working capital requirements to help us ride through this difficult time. So as I mentioned earlier, from the rights issue completion day in September to end of the year, we have used about $0.1 billion of the $0.6 billion of net proceeds. So that's about 16%, 17%, south of 20%. And the balance of these proceeds continue to be catering for potential additional needs of net working capital. In terms of the total quantum of debt due in 2021 and progress on refinancing, we do not give specific guidance exactly on what is due for each year, but what I can say is that, the refinancing that we have progressed so far, whether it's second half of last year or year-to-date, so far, we'll be able to largely refinance them. In fact, we just closed $0.5 billion of refinancing in February.  So, so far, the refinancing has been relatively smooth. We do manage our relative exposures to different banks in a way that it meets our overall requirement as well. So that is that in terms of the refinancing. Your subsequent question on working capital requirement: I think this is similar to earlier requirement; suffice to say that, as we deliver our ongoing projects in the middle of the year, plus, minus, we should see an improvement in the overall working capital situation, especially in the second half of the year. And depending on new projects, we may be able to see a neutral or a positive reversal in terms of working capital needs by the end of the year. Additional sources of liquidity. Well, as we have shared over the last many years, that we continue to evaluate all levers of liquidity, but you know that we have just completed our very significant rights issue. So there's room for thought there. I think our focus on the sources of liquidity basically is in ensuring that we complete our projects smoothly so that we are able to receive the progress payments and delivery payments. And this will be our main source of liquidity. Likewise, as we secure new projects, hopefully, that will also contribute to cash flow as well, although, as you'd imagine, there we have time lag between orders to execution, to the collection of the cash flow. What is important for us in terms of managing our cash flow is not just the inflow but also the outflow. And that is where we have shared that we are managing our CapEx. You can see that it is very, very significantly lower compared to previous years. We are managing our overall costs. And in that sense, as we manage our liquidity prudently, then our overall net working capital will also reduce accordingly. Thank you.
Mun Yuen: Thank you. Thank you, William. It seems that we have addressed all the question that streamed-in during our webcast this morning. There being no further questions, I would like to thank all of you for joining us at SCM first webcast. And for that, we also want to thank Mr. Wong and William for taking time to address the meeting. We would now like to close this meeting, and we thank you once again for your participation. Good day...
Wong Weng Sun: Thank you very much. Thank you.
William Goh: Thank you.